Operator: At this time, for opening remarks, I would like to turn the call over to Clay Whitson, Chief Strategy Officer. Please go ahead, sir.

Clay Whitson: Good morning, and welcome to the Fourth Quarter 2025 Conference Call for i3 Verticals. Joining me on this call are Greg Daily, our Chairman and CEO; Rick Stanford, our President; Geoff Smith, our Chief Financial Officer; and Paul Christians, our Chief Revenue Officer. To the extent any non-GAAP financial measure is discussed in today's call, you will also find a reconciliation to the most directly comparable GAAP financial measure by reviewing yesterday's earnings release. It is the company's intent to provide non-GAAP financial information to enhance understanding of its consolidated GAAP financial information. This non-GAAP financial information should be considered by each individual in addition to, but not instead of, the GAAP financial statements. This conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding the company's expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. You are hereby cautioned that these forward-looking statements may be affected by the important factors, among others, set forth in the company's earnings release and in reports that are filed or furnished to the SEC. Consequently, actual operations and results may differ materially from those discussed in the forward-looking statements. Finally, the information shared on this call is valid as of today's date, and the company undertakes no obligation to update it, except as may be required under applicable law. I will now turn the call over to the company's Chairman and CEO, Greg Daily.

Gregory Daily: Thanks, Clay, and good morning to all of you on the call. At the end of 2025, it's worth reflecting on how much we've accomplished over the last 2 years. Divesting our Merchant Services and our health care revenue cycle management businesses have turned a new chapter in i3 Verticals public sector. i3 provides transformational solutions in a range of government functions, including courts, public safety, public administration, utilities, transportation and schools. We have streamlined our businesses and narrowed our investment to that end, and the returns are only beginning to accrue. In 2025, results show that our revenue growth was strong. In fiscal Q4, we grew 7% over a prior year tough comp. For the fiscal year, we grew at 11% and 8% of that growth was organic. Our ability to grow our recurring revenue is the best predictor of our long-term growth prospects. To highlight that point, our ARR grew over 9% in Q4, outpacing revenue. Geoff will discuss further, but we expect similar growth rates in ARR in 2026, while our revenue -- our non-revenue will likely take a step backwards. Last quarter, we highlighted the importance of investing in new product and markets. We are excited that projects are underway in all of our markets. But our justice and utility investments continue to represent an outside portion of our investment, and we expect these to accelerate in 2026. We have conviction about our revenue opportunities attached to these costs. Many of the impacts will be manifest in the form of durable recurring revenue growth over the long term. We previously announced a win in the state of West Virginia is a perfect example. We look forward to a long partnership serving courts and citizens of West Virginia with our court management solution. Those who know our M&A history are probably surprised we have $85 million in cash on hand and no debt. We will continue to thoughtfully deploy our capital in ways that enhance our ability to bring great solutions to our customers. This includes internal development and M&A. I will now turn the call over to Geoff, and he will provide you more details on our financial performance. And when Rick is done -- and then when he's finished, Rick will address M&A pipeline, and Paul will then discuss revenue.

Geoffrey Smith: Thanks, Greg. The following pertains to the fourth quarter of our fiscal year 2025, which is the quarter ended September 30, 2025. Please refer to the slide presentation titled Supplemental Information on our website for reference with this discussion. As a recap, we sold our health care RCM business in May 2025. The sale followed the sale of our Merchant Services business in September 2024. We are now a pure-play software solutions provider for the public sector operating in a single segment. For financial reporting purposes, when you look at our earnings release or later our 10-K, continuing operations and RemainCo refer to our results exclusive of the Merchant Services and Healthcare RCM businesses. Revenues for the fourth quarter of fiscal 2025 increased 7% to $54.9 million from $51.3 million for Q4 2024, reflecting organic growth of 4.5% and $1.3 million of inorganic revenues from a permitting and license acquisition in August 2024 and utility billing acquisition in April of 2025. Organic revenue growth for the year was 8.4%. Recurring revenues increased 9% to $41.3 million for Q4 2025 compared to $37.8 million for Q4 2024. 75% of our revenues in the quarter came from recurring sources. SaaS revenues grew a healthy 25%, more than offsetting an 8% decline in maintenance. Transactional-based revenues and recurring software services grew 10%, while payments revenue grew 11%. Nonrecurring sales of software licenses declined $1.9 million, reflecting the ongoing shift to SaaS. Professional services revenue increased $1.8 million, partially offsetting the decline in software and license -- software license sales. Software and related services represented 20% -- 70% of total revenues for Q4 with payments 25% and other 5%. At this time last year, we introduced a new metric, net dollar retention, which we will disclose annually. It applies to all recurring revenue line items, but last year excluded payments. This year, we've included the payments revenue in this metric and the net dollar retention for fiscal 2025 was 104%. Adjusted EBITDA declined slightly to $14.4 million for Q4 2025 from $14.6 million for Q4 2024, principally reflecting a decrease in nonrecurring sales of software licenses, which are high margin and an increase in lower-margin professional services. Adjusted EBITDA as a percentage of revenues was 26.2% for Q4 2025 versus 28.5% for Q4 2024, but improved for the year to 27% for fiscal 2025 from 26.4% for fiscal 2024. The improvement was driven mainly by lower corporate expenses following the 2 divestitures. The 60 basis point improvement for the year was on the lower end of our long-term expectations of 50 to 100 basis points improvement for the year because of our previously mentioned investment in our Justice products, and that will continue into 2026. Adjusted diluted earnings per share from continuing operations was $0.27 for Q4 2025 and $1.05 for the fiscal year. These numbers exclude discontinued operations. Again, please refer to the press release for a full description and reconciliation. Our balance sheet is strong and well positioned for the future. As of September 30, we had $67 million of cash and no debt. We still have $400 million of borrowing capacity under the revolving credit facility with a 5x leverage constraint. We intend to use the cash and any borrowings for acquisitions and opportunistic stock repurchases. The following sets forth guidance for continuing operations for FY 2026. The outlook does not include acquisitions that have not yet closed or transaction-related costs. Revenues, $217 million to $232 million; adjusted EBITDA, $58.5 million to $65 million; depreciation and internally developed software amortization, $10.5 million to $12.5 million; adjusted diluted earnings per share, $1.06 to $1.16. We currently expect recurring revenues to grow at a rate similar to fiscal 2025 in the range of 8% to 10%. However, we currently expect a decline in our nonrecurring professional services by the cadence -- driven by the cadence of revenue recognition on certain projects in our utilities and transportation markets. This will be particularly true in Q1. Despite the lower outlook for those markets in fiscal 2026, they are well positioned to rebound in fiscal '27 and beyond. Our long-term expectation for organic revenue growth remains high single digit. While we are now a single operating segment, we would like to provide some detail regarding the size and relative contributions to revenues by our core markets. Justice is our largest market, representing approximately 25% of revenues. Utilities, transportation, education and public administration are all roughly equally weighted. From a seasonality standpoint, software license sales and professional services represent the most variable line items to forecast and can distort seasonality in a given quarter. We currently expect our revenue distribution to approximate the following: Q1, 23%; Q2, 25.5%; Q3, 24.5%; Q4, 27%. I'll now turn the call over to Rick for updates on the M&A pipeline.

Rick Stanford: Thank you, Geoff. I'll briefly address M&A, and then I'll hand the call off to Paul. This past quarter has presented various opportunities to assess potential acquisition targets. Our interest in some of these companies remain strong and discussions are ongoing. Acquisition philosophy remains steady. We will pursue opportunities that align with our strategic goals while maintaining a disciplined approach to pricing. Additionally, each potential acquisition must fit well within our operational framework, ensuring compatibility. We remain optimistic as our acquisition pipeline is constantly churning and continually filled with promising opportunities. Our primary focus remains on strengthening our public sector vertical where we see significant potential for growth and innovation. I'll now turn the call over to Paul for final comments.

Paul Christians: Thank you, Rick. i3 Verticals are structured into 5 primary markets: Justice Tech, transportation, public administration, education and utilities. Because we intentionally structured our organization in a market-centric model to remain as close to the customer as possible, intra market cross-selling naturally progressed into solution bundling. As solutions have evolved, some are applicable across market. Given that, leadership is actively identifying synergistic opportunities across markets, further accelerating revenue and deepening customer engagements. Governments are prioritizing the modernization of legacy systems, enhanced user experience and improved transparency for constituents. The combination of modernization needs and scope expansion creates a unique market opportunity for i3 Verticals to address the gap by providing solutions that include ancillary modules such as payments and other revenue cycle activities that may reduce cost of systems modernization. Additionally, i3 is positioned to address the needs of all sizes of the state and local government agencies. Our solutions architecture and service delivery model allows us to scale from a single agency to an entire state system, broadening our addressable market. Recently, i3 Verticals announced the expansion of our partnership with the West Virginia Supreme Court to deliver the i3 Court 1 case management solution to the state's circuit, family and Magistrate courts. With the new contract, i3 provides ancillary value-added services designed to maximize efficiency and offset project costs for West Virginia's unified judicial system. An expanded platform will empower citizens to gain greater access to aggregated public court data, while the revenue cycle management module will streamline financial processes and improve courts case disposition rates. We are experiencing a heightened awareness and demand for technology-forward platform solutions across the public sector. Platform offerings support decision-makers' ability to manage results versus managing assembly of multiple systems, vendors and ongoing maintenance. Recent evidence of market platform orientation include higher number of RFPs, an increase in the scope of the solutions covered, unified data structure for analytics and ongoing systems evolution and maintenance requirements. The shift from traditional licensing and capital expenditure models to SaaS introduces a new budgeting paradigm for government clients. One of our differentiators is that i3 is organized both in solution bundling and delivery structure to scale implementation from a single agency to statewide deployment. To address evolving platform market trends, we bundle ancillary services to reduce upfront cost and deliver integrated modular solutions that deliver modernization with extended scope and enable rapid rollout of additional modules. As referenced earlier, we're observing increased RFP activity alongside continued pipeline growth. This momentum in part reflects increased recognition of i3 as a trusted platform provider and the enhanced market visibility achieved through our brand unification over the past year. This concludes my comments, Drew. At this time, we will open the call for Q&A, please.

Operator: [Operator Instructions] The first question comes from John Davis from Raymond James.

John Davis: Geoff, I just wanted to dive into the '26 organic growth outlook. Our math is about 5%. I heard 8% to 10% recurring and professional services down. Is that a function of you're no longer selling those professional services or maybe you're not putting things like Manitoba in the guide because they're lumpy and you don't know if they can -- if they're going to hit or when they're going to hit. Just trying to get a sense for the level of conservatism and also how much you expect professional services to be down on a year-over-year basis.

Geoffrey Smith: Yes. Thanks for the question, JD. So it's absolutely true that we are leaning into recurring revenue any chance we get. So when it comes to negotiations like the West Virginia deal we just did or any opportunity where we can push and lean on the SaaS and defer or opt for the recurring sources instead of the professional services implementation sources in contract negotiations. We're absolutely doing that at each turn. That being said, the professional services, we don't expect that to go away. We don't think that what we have clear line of sight on in 2026 is reflective of any kind of long-term trend necessarily. There's a number of things, the West Virginia deal, utilities pipeline that look really strong on the professional services and implementation front further out. just true that for 2026, we think that the cadence and timing of some of those things is going to be a little bit lighter. And so we expect to see that line drop off a little bit here. And it was strong in Q4. Some of that was a little bit of pull forward, but most of it is kind of that we just think that the actual performance obligation fulfillment, the cadence of when we get to rev rec on these is further back end of 2026 or slipping into 2027.

John Davis: Okay. And then I just wanted to drill down a little bit on that dollar retention. I think you called out 104 for the year. how much of that was price? And how should we think about kind of the pricing tailwind going forward?

Geoffrey Smith: So we've addressed this a little bit with the market, but just to kind of recap some of these things, the company has been extremely conservative on price increases historically. And I wouldn't say that we are -- this isn't like a pendulum swing to the opposite end of the spectrum at all, but we're much more bought in and have been working through the contracts and the expectations to make sure we kind of get to more of a 3% to 5% price increase range on a consistent basis with our customers. We've kind of guided that you might expect if price increases were historically contributing 1-plus percent that, that would maybe inch up by about 1% a year for the next several years. And so 2025 contribution from price increase, you're still in that vicinity of that 1% to 2% kind of range. Looking ahead, we're probably getting closer to 1.5% to 3% range for 2026 in our expectations. So modest incremental increases there. We don't think we're at our final destination in terms of the contribution from price increases.

John Davis: Okay. And then Geoff, one more and I got one bigger picture for Greg. Just on the margin front, what was the Justice Tech investment in the quarter? Was it bigger than you thought it was going to be in line? Just remind us what you're expecting for incremental investments in Justice Tech in 2026.

Geoffrey Smith: Yes. To recap, we're -- that primarily consists of -- it's bodies, to put it simply, bodies to accelerate the development of our core package, bodies to accelerate the implementation of our core package. It's all things that we think we're going to get a great return on. West Virginia is just one of kind of the sources where that's going to kind of come from. We're really excited about that deal. The cost is -- I'd say it's relatively in line with where we thought it was going to be for Q4, but these are people who are going to be with us for the foreseeable future here. And that's kind of -- that elevated cost is going to continue into this next fiscal year here.

John Davis: Okay. And then, Greg, $85 million cash on the balance sheet here. How do we think about buyback versus M&A? And just remind us how much you have on the buyback. It looks like this year is going to be a little bit of a transition year, at least on the revenue front. Just how are you thinking about that M&A versus buyback here and remind us how much you guys have authorized left?

Gregory Daily: We just -- regarding buybacks, and I'll let Greg hit M&A. But buybacks, we just refreshed the approval to $50 million. Not a lot of activity in this current period. We'll see obviously the detail in our 10-K. That's something that the emphasis is on being opportunistic. We'll do it when we think we get a good return, and we'll -- we're not going to chase it when we don't think that we're a given.

Geoffrey Smith: On the M&A, we've worked in our pipeline for 13 years. And I think you'll see some activity sooner than later. We've done a couple of small ones that we really don't talk a lot about. And I think we'll still do those. But I think there'll be a couple of meaningful ones that we get done in '26.

John Davis: And Greg, when you say meaningful, more tuck-in but announced deals that are big enough that you're going to announce them versus maybe some that are just immaterial and not even worth kind of press releasing or talking about?

Gregory Daily: Yes. Nothing transformative, but they're larger. We say our sweet spot is $2 million to $5 million of EBITDA, and we paid 10x. We could get a little bit above that, but nothing dramatically.

Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Greg Daily for any closing remarks.

Gregory Daily: Thank you. We do appreciate your interest. We're here if you need to talk, discuss we do appreciate your support. Thank you. Have a good day.

Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.